Frank Wilcox: Hello and welcome to the third quarter 2014 earnings presentation for Universal Insurance Holdings, Inc. I’m Frank Wilcox, the Chief Financial Officer. Making the presentation with me today are Sean Downes, Chairman, President and Chief Executive Officer; and Jon Springer, Director, Executive Vice President and Chief Operating Officer. Earlier today we filed our Form 10-Q with the Securities and Exchange Commission and issued our earnings release. To find copies of these documents please visit the SEC Filings and Press Releases sections of our website at www.universalinsuranceholdings.com. Our SEC filings can also be found on the SEC’s website. An audio recording of this presentation will be available on the homepage of our website until December 1, 2014. Before we begin please note that this presentation may contain forward-looking statements about our business and financial results. Forward-looking statements reflect our current views regarding future events and are typically associated with the use of words such as believe, expect, anticipate and similar expressions. We caution those listening, including investors, not to rely on forward-looking statements. They imply risks and uncertainties, some of which cannot be predicted or quantified and future results could differ materially from our expectations. We encourage you to carefully consider the risks described in our filings with the SEC, available on the SEC’s website or our SEC filings section of our website. We do not undertake any obligation to update or correct any forward-looking statements. With that said I would like to turn the presentation over to Sean Downes.
Sean P. Downes: Thank you, Frank. Our strong record third quarter results indicate that our focused approach to following our business model is working. We continue to execute on our strategy to grow our business organically, increase profitability and drive shareholder value. For the quarter we achieved the highest earned premiums, total revenues, net income and diluted EPS in our history. Frank will provide specific details of our financial results later in this presentation. In addition, we completed the $10 million share repurchase program announced on June 17th continuing our track record of deploying capital opportunistically when we see value on our stock to drive returns to shareholders. We will continue to evaluate our capital allocation strategy with a view towards balancing investments to grow our business while also capitalizing on additional opportunities to return capital to shareholders. Our results in the quarter were driven by continued focus on our core operating principals; our disciplined approach to underwriting; and our focus to writing rate adequate business. As we discussed last quarter this disciplined approach which has allowed us to build a more robust and high quality book of business was a key factor supporting our ability to secure cost reductions in our 2014 and 2015 reinsurance program. In addition to reduced costs, we implemented a quota share reduction as part of our reinsurance program, which in effect means that we are retaining a greater portion of our business which we believe to be very adequate and profitable. Together these factors have directly contributed to our strong bottom line performance in this quarter. We also maintained our organic growth momentum during the quarter and the first nine months of the year and continued to make good progress on our geographic diversification strategy outside of Florida. For example we have seen meaningful increases in policy count and insured value in Florida and other states since December 31, 2013. Our expansion in states outside of Florida is yielding growth in policy count of 27.6% since December 31, 2013 and 37.3% since September 30, 2013 demonstrating that our proven business model is replicable and continues to deliver results in newer markets. During the third quarter we also saw an increase in both new and renewal policy submissions in Florida compared to the same quarter in 2013. In addition, we announced on October 27, 2014 that the Indiana Department of Insurance issued a certificate of authority to UPCIC in October 2014, thus approving UPCIC as a licensed insurance entity in the state of Indiana. We are currently licensed and operating in nine states with two additional states in the pipeline. In summary we are pleased to see that our operational and financial momentum is not only continuing but in fact accelerating. We continue to believe the underlying organic growth drivers of our business remain strong and we will look to build on our strong momentum in the fourth quarter. At this time I would like to turn it over to Jon Springer.
Jon W. Springer : Thank you Sean. I would like to expand a little further on the reinsurance changes, specifically the quota share reduction implemented effective June 1, 2014 by reducing our quota share reinsurance session percentage from 45% to 30% we are as Sean indicated retaining a greater portion of our business. What is important to understand is that this change results in quality true organic growth by retaining a greater percentage of policies that we already have on our books. This business has been underwritten by our staff and in most cases these policies have been with us for many years. We are simply assuming more of a well-known commodity. From a risk perspective we have purchased catastrophe reinsurance on this additional business in the exact same manner as the remainder of our net position. So we will have the same result on all 70% of our business that we now retain. Specifically, from a catastrophe risk perspective the reinsurance program effective June 1, 2014 reduced UPCIC's pretax liability to $21 million for the first second and third catastrophic events under its Florida program with coverage up to $1.8 billion. As to future reinsurance we are already in the early stages of exploring the most efficient manner to reinsure our company effective June 1, 2015. This may include utilizing the traditional reinsurance market, accessing some alternative capital in the form of a catastrophe bond or some combination of both. With that I'd now turn the discussion over to Frank Wilcox for our financial highlights.
Frank Wilcox : Thank you, Jon. I'd to provide a little bit more detail around the financial results for the quarter and first nine months of the year and their drivers. Net income for the third quarter totaled $21.3 million, an increase of 48.1% compared to $14.4 million in 2013. This reflects an improvement across multiple measures, including an increase in net earned premiums, policy fees and income generated from the company's investment portfolio partially offset by a decrease in commission revenue and increases in operating expenses. As Sean indicated earned premiums, total revenues, net income and diluted EPS are all higher than any other quarter in the company’s history and as both Sean and Jon outlined the reduction in the session rate of our quota share reinsurance contracts is a significant factor behind our results. Diluted EPS for the third quarter was $0.61 which is a $0.21 or 52.5% increase from the same quarter in 2013 reflecting both an increase in net income and decrease in shares outstanding from share repurchases. Net earned premiums increased by $25.4 million or 36.85 for the quarter compared to the same period in 2013 reflecting a decrease in ceded earned premiums of $28.4 million, partially offset by a decrease in direct earned premiums of $3 million. Commission revenue of $3.1 million for the quarter was down by $1.1 million or 25.3 as a result of both a decrease in the cost of certain reinsurance contracts and differences in the structure of our reinsurance programs. Net realized gains of $501,000 were generated during the third quarter of 2014 from sales of investments from our portfolio of securities available for sale. We took the opportunity in the third quarter of 2014 to realize gains ahead of potential volatility in the equity markets. Net income increased by $262,000 for the third quarter of 2014 compared to the same period in 2013 reflecting a change in the composition of the investment portfolio. As one would expect losses and loss adjustment expenses of $34.2 million for the quarter were $5.8 million or 20.6% higher than the third quarter of 2013 as a result of a decrease in the amount of losses and loss adjustment expenses ceded to reinsurers under our quota share reinsurance contract effective with the 2014-‘15 reinsurance program. General and administrative expenses were $32.2 million for the third quarter of 2014 compared to $24.9 million for the same quarter in 2013. The increase of $7.2 million is primarily due to an increase of $5.2 million in the amortization of net deferred acquisition costs, resulting mostly from changes with the 2014-‘15 reinsurance program including a reduction in the rate of ceded premium from 45% to 30% in our quota share contracts. Now let me turn briefly to our results for the first nine months for the year. Net income increased by $8.6 million or 19.9% for the first nine months of 2014 compared to the same period of 2013. This reflects an increase in net earned premiums, the absence of trading losses generated in the first quarter of 2013 and an increase in net investment income partially offset by a decrease in commissions and an increase in operating expenses. Diluted earnings per share or the first nine months of 2014 increased by $0.35 or 31% compared to the same period of 2013. Turning to our balance sheet, we ended the quarter with cash and cash equivalents of $170.4 million. Stockholders equity reached an all-time high at September 30, 2014 of $189.1 million. The increase from $175.6 million at December 31, 2013 includes year-to-date net income of $52 million, share repurchases of $29.7 million and dividend payments of $10.4 million. In closing we believe our results for the quarter reflect the strategic initiatives, underwriting discipline and investments we have made to improve our long-term financial position. I will now turn it back to Sean for closing comments.
Sean P. Downes: Thanks, Frank. In summary it was a historically strong quarter for Universal. Our results demonstrate the continued successful implementation of our operational initiatives and we believe more than ever that we are well positioned to drive additional growth and shareholder value in the future. Before I conclude, as always I would like to thank all of our agents, policy holders, and our employees I would also like to thank all of our Directors and shareholders as well as our management team for their loyalty and dedication to the company. Thank you for taking time to join us today. This concludes our presentation.